Operator: Greetings and welcome to the Kaiser Aluminum Corporation's Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kim Orlando, Investor Relations. Thank you ma'am, you may begin.
Kim Orlando: Thank you. Good morning, everyone, and welcome to Kaiser Aluminum's fourth quarter and full year 2023 earnings conference call. If you have not seen a copy of our earnings release, please visit the Investor Relations page on our website at kaiseraluminum.com. We have also posted a PDF version of the slide presentation for this call. Joining me on the call today are President and Chief Executive Officer, Keith Harvey, and Executive Vice President and Chief Financial Officer, Neal West. Before we begin, I'd like to refer you to the first four slides of our presentation and remind you that the statements made by management and the information contained in this presentation that constitute forward-looking statements are based on management's current expectations. For a summary of specific risk factors that could cause results to differ materially from the forward-looking statements, please refer to the Company's earnings release and reports filed with the Securities and Exchange Commission, including the Company's annual report on Form 10-K for the full year ended December 31st, 2023, which will be filed on February 23rd, 2024. The Company undertakes no duty to update any forward-looking statements, to conform the statement to actual results or changes in the Company's expectations. In addition, we have included non-GAAP financial information in our discussion. Reconciliations to the most comparable GAAP financial measures are included in the earnings release and in the appendix of the presentation. Reconciliations of certain forward-looking non-GAAP financial measures to comparable GAAP financial measures are not provided, because certain items required for such reconciliation are outside of our control and or cannot be reasonably predicted or provided without unreasonable effort. Any reference to EBITDA in our discussion today means adjusted EBITDA, which excludes non-run rate items for which we have provided reconciliations in the appendix. Further, slide five contains definitions of terms and measures that will be commonly used throughout today's presentation. At the conclusion of the Company's presentation, we will open the call for questions. I would now like to turn the call over to Keith Harvey. Keith?
Keith Harvey: Thanks, Kim, and thank you all for joining us for a review of our fourth quarter and full year 2023 results. Turning to slide seven. I am very pleased with the hard work and dedication of the entire Kaiser team this past year, which enabled us to set the foundation for long-term, sustainable and increasingly profitable growth in the years to come. Our focused strategy, unwavering execution, and commitment to our customers allowed us to end the year in a solid position, with ample resources to implement our growth initiatives. We delivered fourth quarter results above our expectations, with $52 million of adjusted EBITDA. Despite continued destocking in some of our markets and inflationary pressures, our efforts to lower cost and improve operating efficiencies are taking hold across the platform. An exceptionally strong aerospace mix experienced during the quarter, also contributed to our strong results. Performance in the fourth quarter and full year 2023 establishes a solid foundation for the company, as we transition toward completing our investments and executing our growth strategy for 2024 and the future. I'll now turn the call over to Neal for more details on our 2023 results. Neal?
Neal West: Thank you, Keith. Good morning, everyone. I'll begin on slide nine, with an overview of shipments and conversion revenue. While the demand environment for the full year of 2023 was mixed, conversion revenue for the year was a record $1.47 billion, an increase of $83 million or 6% compared to 2022, while total shipments were down 58 million pounds, or 5%. Looking at each of our end markets in detail, aerospace and high strength product demand remained very strong and by year end our conversion revenue surpassed the peak levels we experienced in 2019, prior to the pandemic, which is well ahead of our initial expectations. We delivered fourth-quarter and full-year conversion revenue ahead of our outlook as we benefited from a more favorable product mix than anticipated. Our unique ability to flex our capacity in our Trentwood facility as general engineering demand remains soft, further contributed to our performance. For the full year 2023, aero/high strength conversion revenue totaled $533 million, up $177 million or 50%, reflecting higher pricing on a 36% increase in shipments over last year. In packaging, destocking activity with our beverage customers stabilized during the fourth quarter. However, as we noted in our third quarter call, we experienced destocking in our coated food products in the fourth quarter, which makes up a considerable amount of our shipments. For the full year of 2023, packaging conversion revenue was $503 million, down 9% year-over-year. Shipments during the year were down 7% or 43 million pounds over 2022, which as a reminder, was impacted by our magnesium related declaration of force majeure. In addition to shipments being impacted by destocking in the market, primarily by beverage related products in the first half of the year, followed by the coated food products in the fourth quarter, conversion revenue was impacted by a less favorable product mix, which negatively affected our results. In general engineering, reduced demand for plate products along with increased availability of imports persisted through Q4. We expected pricing to remain under pressure for these products until semiconductor demand returns. In regard to our GE long products, we saw destocking beginning to stabilize in the fourth quarter, following five quarters of steady destocking. General engineering conversion revenue for 2023 was $305 million, down 17% year-over-year due to a 29% reduction in shipment as a result of destocking, primarily for plate products, on higher pricing to address inflationary cost. And finally, automotive demand remained relatively stable as supply chain issues continue to offset fairly good demand. For the full year 2023, auto conversion revenue was $116 million, up 21% over 2022, and an 8% increase in shipments due primarily to higher pricing to offset inflationary cost. Additional details and conversion revenue in shipments by end market, applications can be found in the appendix of this presentation. Now moving to slide 10. Reported operating income for 2023 was $96 million, after adjusting for corporate restructuring costs of approximately $5 million, adjusted operating income was $101 million, up $66 million from 2022. Our effective tax rate for the full year 2023 was 16% compared to 22% in 2022, primarily due to an R&D credit created during the year. Cash taxes for the full year 2023 was approximately $2 million. For the full year 2024, we expect our effective tax rate before discrete items to continue to be in a low to mid 20% range under current tax regulations. We anticipate that our 2024 cash taxes or foreign and state taxes to continue to be in a $2 million to $3 million range, with no US Federal cash taxes, until we consume our federal NOLs, which as of year-end 2023 were $101 million. Reported net income for 2023 was $47 million, or an income of $2.92 per diluted share, compared to a net loss of approximately $30 million, or a loss of a $1.86 per diluted share in 2022. After adjusting for a net total of approximately $4 million of pre-tax non-run rate gain, including the previously mentioned restructuring charge, adjusted net income for 2023 was $44 million, or an income of $2.74 per adjusted diluted share, compared to an adjusted net loss of approximately $9 million, or a loss of $0.55 per adjusted diluted share in 2022. Now turning to slide 11. Adjusted EBITDA for 2023 was $210 million, up approximately $68 million from 2022. Adjusted EBITDA as a percentage of conversion revenue improved by approximately 400 basis points from 2022 to 14.3%. The improvement in adjusted EBITDA was primarily the result of higher pricing that captured a higher cost of alloys and other inflationary costs with a higher mix of aerospace product shipments. In addition, we continue to stabilize operations following the significant supply chain issues we experienced at our work rolling mill over the last two years and remain focused on cost reductions on operational efficiencies across our platform, including corporate and plant overhead related costs, to address the impact of inflationary cost. Partially offsetting these actions throughout the year, as noted earlier, was destocking and packaging and general engineering, along with continuing inflationary cost, which we believe are beginning to subside. Now, turning to a discussion of our balance sheet and cash flow, we generated approximately $69 million of positive free cash flow for the full year 2023, primarily due to lower capital expenditures than anticipated and improved anticipated inventory management. At the end of December 2023, total cash of approximately $82 million and approximately $517 million of net borrowing availability on our revolving credit facility, provided total liquidity of nearly $600 million. There were no borrowings under the revolving credit facility during and as of the quarter end December 31st, and it remains undrawn. Our total liquidity position remains strong. As a reminder, our senior notes interest costs are fixed at $48 million annually and we have no debt maturing until 2028. As of December 2023, our net debt leverage ratio improved over 200 basis points to 4.6 from 7 times at year end 2022, moving towards our targeted leverage ratio of 2 to 2.5 times. Turning to capital allocation. Our strategy remains focused on supporting the growth of our business, while concurrently returning value to our stockholders in the form of quarterly cash dividends. Our full-year capital expenditures came in below forecast at $143 million which was predominantly driven by the timing of submission for bill payments related to our growth capital projects. We now project for the full year 2024, that our capital expenditures will be in a range of $170 million to $190 million, which reflects the carryover from 2023 due to timing. Our roll coat project remains on schedule with the majority of the remaining $110 million will be spent in 2024. The balance of capital expenditures will be for ongoing sustainability and additional growth projects, which Keith will cover shortly. Additionally, we returned approximately $50 million in 2023 to our shareholders through dividend payments, making it our 17th consecutive year of dividend payments to our shareholders. On January 11th, we announced that our Board of Directors declared a quarterly dividend of $0.77 per common share, which underscores the continuing confidence our Board and management team have in our longer term strategy to improve our profitability, and increase stockholder value. And now I'll turn the call back over to Keith, to discuss our 2024 and beyond outlook. Keith?
Keith Harvey: Thanks, Neal. Now I'll turn to our outlook for the fiscal year of 2024, beginning with Aerospace on slide 13. The strong momentum we've been experiencing in aero and high strength shipments is expected to carry-over into 2024 and beyond, supported by improved declarations by our customers for large commercial jets and strong demand for our products projected for defense, space, business jet and other industrial high strength applications. It has become increasingly evident that as demand for our products grows, our customers expect us to invest for additional capacity to meet their needs. Therefore, we are moving forward with the initial investment in our previously announced Phase VII expansion at our Trentwood rolling mill. When initially proposed in early 2020, the total cost of the Phase VII investment was estimated to be approximately $225 million over several years, with an expected 20% to 25% increase in total capacity. However, the Phase VII launch was delayed due to the pandemic. In the time since then, our team has been able to further evaluate and provide options to deliver the initial incremental increase of capacity with more modest investments. Currently, we expect initial investments of approximately $25 million to yield an additional 5% to 6% increase of overall capacity for aerospace and general engineering products, which will be the first of multiple investments planned over the next several years at Trentwood. The culmination of which is expected to deliver the earlier announced increase in capacity. We expect capital outlays for this initial investment will be approximately $10 million this year, with the balance applied in the first half of 2025. The increased capacity is expected to be available to our customers beginning in the second half of 2025. Our team will continue to evaluate efficient lower cost options to deliver the full capacity expected from the Phase VII expansion, to meet the needs of our customers and deliver value to our shareholders. 2024, aero and high strength shipments and conversion revenue are expected to improve approximately 1% to 2% versus 2023, as we now expect improving general engineering demand in the second half of the year, which utilizes much of the same capacity as some aerospace products. Turning now to packaging on slide 14. As discussed previously, we began experiencing destocking from our food packaging customers in the second half of 2023. We felt that destocking in these products would not be as prolonged as we experienced on the beverage side of our business in late 2022 and through most of 2023. Based on discussions with our customers, we now expect destocking for these products to moderate and end sometime during the first quarter of this year. Our customers have indicated expected sales growth in 2024 in the mid-single digits above 2023 levels. As a result, we now expect our packaging shipments and conversion revenue to improve by approximately 5% to 7% in 2024 year-over-year. We have a number of exciting and impactful initiatives underway at our Warwick facility in 2024. Our new roll coater installation is progressing well and is on time for completion by the end of the year, with production expected to commence in 2025. As we've previously stated, this is a high-value project expected to convert approximately 25% of our existing capacity to higher value added coated products. Fully implemented, this project is expected to have a 300 to 400 basis points impact on overall margins. To-date, we have a large portion of this capacity already committed with discussions underway for the balance. Upon exiting our hot metal supply agreement with the adjacent Alcoa smelter at year end 2023, we've successfully implemented a new metal input strategy at the rolling mill, utilizing a significantly higher mix of used beverage cans and recycled scrap in our mix, which will greatly improve our greenhouse gas footprint. Once this strategy is fully implemented this year, we estimate the run rate impact of this revised strategy will deliver a consolidated margin improvement by 150 to 200 basis points on a full year basis. We remain excited about the potential for our packaging business. With strong secular growth expected in the 3% to 5% range, coupled with our long-standing customer relationships with multi-year contracts and a focus on higher margin, value added coated products, we're confident in the positive outlook for this business longer term. Now turning to general engineering on slide 15. Distributors continued to reduce inventories for both plate and long products through the fourth quarter of 2023. However, we are experiencing an increase in order rates for all general engineer products since the start of 2024 and believe destocking could end early this year. We now feel the fourth quarter of 2023 was the trough for demand and we expect improving shipments and conversion revenue as we progress into 2024. More specifically, as semiconductor plate demand gains momentum in the second half of 2024 and into 2025, we expect capacity from our initial Phase VII investment will support additional growth in these markets and provide the catalyst for future planned investments at our Trentwood operations. As a result, we expect shipments in 2024 to improve by approximately 5% to 6%, with resulting conversion revenue to be flat to up 1% compared with 2023, as we expect modest pressure on prices earlier in the year as demand improves. Longer term, we are maintaining a positive outlook for our general engineering business, on the whole, given the reshoring of certain manufacturing industries back to North America. Next, I'll turn to automotive on slide 16. Higher build rates for trucks and light vehicles in North America have driven a steady recovery in the automotive market throughout 2023, which we expect will carry-over into 2024. As a result, we expect our 2024 auto shipments and conversion revenue to increase 3% to 5% from 2023 levels. Turning to slide 17, I'll now turn to our summary outlook. For the full year 2024, we expect demand will continue to improve across all of our key markets. As a result, we expect conversion revenue to improve 2% to 3%, with expected EBITDA margins improving by 70 to 170 basis points year-over-year. Manufacturing efficiencies are also expected to improve as demand recovers and our operations continue to stabilize. These efficiencies are expected to help partially offset expected higher labor and medical cost. In summary, despite all of its challenges, 2023 turned out to be a strategically important year for Kaiser, as we laid the groundwork necessary to capture the numerous opportunities ahead of us. The combination of our strong market position as a key supplier in diverse end markets with multi-year contracts and with key strategic partners, strong liquidity position and a flexible nature of our cost structure positions us well for long term sustainable growth. With that, I will now open the call to any questions you may have. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Josh Sullivan with the Benchmark Company. Please proceed with your question.
Josh Sullivan: Hey, good morning.
Keith Harvey: Good morning, Josh.
Josh Sullivan: Just wanted to get a feel for you know what has been the market response for aerospace plate just since the FAA production cap for the 737 was put in place?
Keith Harvey: Well, I think Boeing had planned on moving up from its current 38 rate, Josh. And so they're going to be staying at that 38 rate until the FAA and Boeing agree that they've met the quality requirements to enable them to move. And from a Kaiser perspective, yes, Boeing is an important and a large customer with us, but it gets back to the beauty, and we've talked about this for years, the diversity of our business. So we have talked for a long time about being a big part of business jet, a big part of defense, a big part of other programs that are going out there, and other large commercial airframes. So we're seeing strength perhaps capped in one area. We have got opportunities in other areas that continue to draw on our capacity. And when you look at the culmination of what we see in the markets overall, and coupled with the fact of what we expect in talking with customers on the general engineering side of our business, it really drove us to announce the launch of Phase VII at Trentwood. And we had been watching this closely. But then with the strength that we saw last year, the recovery that came back to the levels at least on conversion revenue, it really drove us to look at this expansion, to take care of these markets. And I would say that, I said it in my comments, but I was really, the Trentwood team has been extremely innovative over the year. We've done six of these expansions. They've done them, each one of those were done while we were basically red lined at current capacity levels. And they have continued to work and develop on more efficient, lower cost ways to add capacity. And so that really encouraged us with all the market demand drivers I spoke to, to begin the launch of Phase VII. So overall, we still see a really strong draw overall for the entire markets.
Josh Sullivan: Got it. And then maybe what data points specifically are you seeing that give you confidence on the food packaging side? That cycle is indeed recovering here -- is looking to recover?
Keith Harvey: Well, it's not a huge broad category of customers, and of course, we're a large player there. So we have good discussions with our customer base on a regular basis. So we've been in discussions with them since the fourth quarter of last year about how things looked. And then I think it's also being reinforced. A number of those have already had their earnings calls, and they've mentioned about growth reoccurring here in 2024 and back to that mid-single-digit growth over the entire year of last year. So I think when you couple that together, we feel pretty good. We're seeing the order rates begin to perk back up and think that they will only strengthen as we get into the typical strong demand quarters of the second and third quarter for that business. So we feel that destocking should be behind us after the early part of the year here.
Josh Sullivan: Great. Thank you for the time.
Keith Harvey: Thank you, Josh.
Operator: Our next question comes from Bill Peterson with JPMorgan. Please proceed with your question.
Bill Peterson: Hi. Good morning, and thanks for taking the question. On the EBITDA sort of guide, 170 basis point improvement. How should we think about the cadence? You talked about some of the drivers or some of the puts and takes, but how should we think about the cadence for some of these improvements as we move through the year? Should this be more back half weighted, or is it some seasonality associated with this, just any sort of color that would be helpful.
Neal West: Sure. Well, we're still starting out the first part of the year in some of the destocking, Bill, especially on the packaging and on the general engineering products. We do expect those to improve as we go through the year. So I would say probably the first quarter will be our most challenging year from a demand perspective. Okay. And then as we move forward in the year, we're also projecting some increases in our efficiencies through the operations. So obviously, as demand settles down and actually starts to recover, our operations have stabilized. We worked a lot on cost and continue to work on cost as we go forward. So we should expect with demand to increase, the businesses to stabilize. And we see some improvement as we get to the latter part of the year. You'll start to see a momentum pick up from quarter to quarter, from the second quarter through the balance of the year is our outlook right now.
Bill Peterson: Okay. Thanks for that. I'm not sure if this hits in this year or not, but on this packaging raw material strategy, where you discuss the raw material sourcing, this 150 to 200 basis point improvement on consolidated margins, I guess. Can you provide additional color here on this strategy, including the timing? Did some of this hit this year, or is this really more beyond this year?
Keith Harvey: No, we'll start out a good bit this year. We're ramping up the first part of the year, Bill, but this has been a strategy that we've been looking to deploy really for the last two to three years. We did not feel long term that a supply position with using prime metal from a coal fired power facility was going to really meet the requirements for our greenhouse gas and the requirements that our customers were putting on us for the use of more recycled content in their products. And so this is something we've been working towards, our agreement was officially up with Alcoa at the end of the year. And so in the latter part of last year, we had been executing using more secondary, more scrap from other sources. And we have really worked to perfect that and work that well within our process. As you imagine, it could be a little different than working just across the aisle from a smelter. But the team there has done an excellent job and we've proven that we can move away from a big part, from prime and move to secondary. There are obviously cost advantages associated with that, which gives us comfort in giving a little bit of that guidance out there of what the impact of this is going to be. So, quite frankly, we just fully expect this to keep ramping up and we're pretty encouraged by the results that we've seen so far. So as we get more efficient in this process, I think we'll be able to cement those kind of margin improvements with that metal strategy.
Bill Peterson: All right. Thanks for that. Maybe just piggyback on the last point. I guess if you think about the broader scrap market in the US, especially over a longer period, especially considering with two rolling mills ramping and your additional capacity as well, how do you see the supply situation given that ultimately there's going to be a lot stronger demand for this scrap material?
Keith Harvey: Yes, no, I think that's going to be a strategic input from any producer and we've certainly been spending a lot of time on it, developing relationships with suppliers and ensuring that we have the right amount of availability from either prime resources globally and/or secondary and scrap resources here in North America. So I think it's going to be a critical part. Kaiser is taking that extremely important part of our strategy going forward. So this is the really a culmination of the last couple of years. What are we going to do, especially with work and but we've also really been developing that strategy for all of our businesses. So from the extrusion side, which we've historically used, large amount of scrap, and those relationships that we have more on regional basis there, they're really sound and we've been executing there for a number of years. So, but I think it's a critical part of the go-forward strategy. Now, we expect more scrap availability, but those relationships and the availability of that will be a key strategic component of anybody's game plan.
Bill Peterson: Okay, thanks. I'll pass on.
Keith Harvey: Thank you, Bill.
Operator: Our next question comes from Timna Tanners with Wolf Research. Please proceed with your question.
Timna Tanners: Yeah. Hey, good morning, guys.
Keith Harvey: Hi, Timna.
Timna Tanners: Hello. I wanted to dive a little bit more into some of the end market discussion. In particular, on the auto side, was just kind of interested in the sizable increase of a really strong year. Just kind of how does that jibe with some of the concern over inventory already getting rebuilt and maybe EV demand falling a bit like is there something perhaps about Aluminum taking share or some other opportunity that we might be missing?
Keith Harvey: Well, we've been following that as well, Timna, and it seems like, especially over the last few months, a slowdown on the demand for EVs for multitude of reasons. Perhaps transitioning is always bumpy. But the good thing about our business is that we've been very focused, especially on the ICE side of the business, on light truck and SUVs. And as the business has somewhat slowed on the EVs, the business around the trucks and SUVs have been fairly robust, and we've been associated with those programs for a good while. We also have parts that we've been supplying forever, for instance, like ABS brakes systems. We're a large supplier into that side of the business. Of course, whether it's an EV or an ICE vehicle, all of those require the use of ABS brake systems and so forth. So I feel pretty good about our ability to probably weather this transition, but it's always, we're a little cautious. A lot of changes that have taken place there, as the strike, sort of the UAW strike, that sort of blends out and figures out where things are going to be. I like our position. As you know, it's probably only about 8% or 9% of our total conversion revenue. So perhaps not as impactful to us as perhaps others, but I like where our contracts are, and of course, we'll weather the transition with the rest of the market.
Timna Tanners: Okay, fair. That's helpful. Wanted to also ask you a little bit more about Phase VII, I know in the past you had talked about kind of putting that on hold for the time being, and now it sounds like you've got a strategy that enables you to stretch that out. But can you talk a little bit more about it. Seems like predominantly people are finding cost overruns, and in fact, in this case, it sounds like you're able to do the expansion maybe with less investment. So can you elaborate more on how that's going to work and how to think about the timing of that cadence?
Keith Harvey: Yes. What we really like, Timna, is large projects. And I think as you've seen from a number of folks in our space and in the steel space and so forth, we weren't the only one that was subject to a lot of inflationary costs, material high cost, and so forth. So those are always a challenge in these types of environments. What really excited us and really got us to the point of launching the Phase VII, is that this is more in alignment with how we did the previous six expansions. These are more bite size type investments that we can make, so they have lower impact on the operating business. We're still very mindful of the fact that we're going to move as quickly as possible. And I think you saw some pretty good headway we made on our leverage numbers. And so we're really mindful of maintaining that, maintaining our dividend, maintaining our -- but also committing to the growth for our customers here. And that really put us on over the top there. We're to the point. And you saw how the demand was for aero for us in the fourth quarter. It's really come back as fast or faster than we would have expected. So, one might say we might be a little behind the time on launching this, but I think I like the cadence of being able to do these in smaller buckets, more managing size, and then get those increments of capacity into the business within a one year type period, as opposed to these large projects that typically take multi-year to deliver any kind of return on the investment. And of course, these investments that we're making at Trentwood, these are all in those historically high mid 20% to high 20% margin type products. So those always are pretty exciteful for us to be able to launch and take advantage of.
Timna Tanners: Okay, helpful. So last one for me was just on, would be curious to get your thoughts on the impact of a couple of things outside of your company specific. So, starting with Novelis above budget and extending the time frame of their start-up, any potential 10% tariff, if President Trump is re-elected, and any potential additional tariff on Russian aluminum. So, it would be great to get any high level thoughts on those possible outcomes, or at least that little out of two.
Keith Harvey: Sure. Look, with regard and Novelis, look, we understand. It was really tough to come back. And if you look at the percentage increase that's gone up and the delay that they had, we were perhaps suffering through the same thing. The percent increase, even though it's got a couple of more zeros approach to it for them was about the same that we had with our large project the roll coat at Warwick. So a little bit of an expectation that misery loves companies. So we were all seeing the same things. So but they're a great company. They'll get through that. They're very knowledgeable in the packaging in the automotive so they'll get that out over time. I suspect you'll see that in all large projects that have been launched. We certainly haven't been insulated nor has anyone else been from the inflationary costs that have impacted. But we've continue to see the reasonings for expansion, because growth is occurring and we either have to keep up with our customers or we're going to be left behind. So the focus there. Moving over to tariffs. Look, with regard to tariffs on Russian material, we made a commitment as a company when the Ukrainian war started out that we weren't going to work with any types of companies and/or materials from Russia. So that really wouldn't impact us. I know perhaps the LME, we'll see what impact that would have, but Kaiser buys metal from a lot of sources and I'm confident and actually pleased with the fact that we don't use Russian material. And then with regard to tariffs that might take place. Timna, we've come to learn to react to many things in this industry and Kaiser will continue to do that. We'll react, we'll do the right things for our company, for our country and then obviously for our shareholders. We're well diverse in a lot of areas and I don't see how tariffs going to take off from the demand of our products because a lot of focus here in North America. But may provide an opportunity, a catalyst for us actually an incentive. But, we're pretty well positioned to weather those things. As you know, tariffs have been in place with Chinese companies for years and multiple products and come and go and we just have learned to operate in a very different environment.
Neal West: I mean, to add to that too, Timna. That, remember, we put in the contained metal pass through at the beginning of 2023 to ensure that any of the impacts to alloys and aluminum, those things are now a pass through cost, and they contain metals. So as those tariffs come through, we've now got those mechanisms in place to make sure that this rose through our pricing mechanisms.
Timna Tanners: Okay, great. Thanks again.
Keith Harvey: Thank you.
Operator: Our next question comes from Curt Woodworth with UBS. Please proceed with your question.
Curt Woodworth: Yes, thanks. Good morning, I guess about the trajectory of, I guess, packaging EBITDA. So you have the roll coat line at 300 to 400 basis points. You talked about the raw material kind of scrap integration, giving you another 150 to 200. And then obviously you probably have more operating leverage coming through the system later this year and next year. Is there a way to maybe quantify what you think the EBITDA uplift could be from those things? This is my first question.
Keith Harvey: Yes, well, what we tried to do, Curt, and we've listened to a lot of you about an understanding. We have been talking about how this portfolio of businesses, we believe we could move back to Kaiser's historic mid-20s type margin and above. And we haven't made it easy for people to understand that with the challenges we've had over the last couple of years. So there's been a lot of volatility that we've dealt with. And as you know, we don't, from our segmentation perspective, Kaiser doesn't break out EBITDA for those various businesses. But what we wanted to do was to try to give a bridge from where we are and or have been to where we think we're driving the business, so that people can understand a little bit more of what we intend to do and how that's going to impact and get us back up to those levels. So, for instance, if you look at the call out that you mentioned on the packaging, especially with the metal strategy and the roll coat, and really that's not adding capacity, that's adding roll coat coated capacity, so that we can move our existing capacity to a higher margin, which is one of the traits that Kaiser does in all of our businesses. So you begin to start seeing how we can bridge from where we end up at 14, 14.3 for last year. So you can start seeing how the progressive, when we bring these capacities, these innovations online when we get efficiencies we'll start giving a little bit more clarity and what those efficiency gains, what those investment gains will be to help you on your models as you try to see how we're going to get from here to there.
Curt Woodworth: Is there a way to quantify the EBITDA improvement from those two initiatives you announced or give us a sense for maybe what you believe the EBITDA upside is?
Keith Harvey: Well, when we gave those -- that outlook, that's the impact on the overall business with those investments. So that's not relegated to just the packaging. That's the overall consolidated business, the reference there, perhaps that wasn't as clear.
Curt Woodworth: So if you sum the high end of those two pieces, it's 600 basis points of margin uplift across the consolidated value-added revenue of the business.
Keith Harvey: You got it. That's the way we laid it out for you.
Curt Woodworth: All right. That's very helpful. And then I guess with respect to aerospace looking conversion revenue up 1% to 2%, yet I assume there's still some inflationary pressures in the business. You highlighted labor, medical, maybe you're getting some relief on energy, but and then there's productivity. But would you expect your aero/high strength business? Can you get EBITDA growth of a 1% conversion revenue increase this year?
Keith Harvey: Yes, we can. Because let me tell you one of the reasons that the aero is going to wouldn't perhaps be as high as the increment that we had last year. It's back to my comment about general engineering beginning to recover in the second half. And so we've got a commitment to our service center customers, some large OEMs and other markets, that we're not going to cut them out just because aerospace is returning. If you can recall, we had that conflict in 2019. And so, we made a commitment to those customers that we were going to not only service the growth for aero, but we're going to be in a position to service their needs on general engineering. So that's a reflection of moving part of that capacity to general engineering, most likely in the second half. The other component there, Curt, is that, as you recall, a lot of the aerospace is contractual business. So there's not going to be a lot of change on the pricing for a good portion of that business. Those contracts are generally multi-year that are in place. So, any additional capacity we've had in the past, we've applied to spot business, which has been pretty good for us as well. Well, the business in general engineering for spot business is as equal to the returns that we can get on aero almost. So we're going to make sure that we cover all parties. But it's back to the reasoning that we've launched Phase VII. To the point we need more capacity and we like the way we're going to lay it in over multi-years, smaller increments, and it allows us to make sure that we grow with our customers.
Curt Woodworth: Okay. And then how should we think about CapEx for '25? I know you talked about the majority of the roll coat spend will be finished this year, but then you may have a little bit incremental on Phase VII. Are there any other moving pieces or carryover CapEx to think about? Thank you.
Keith Harvey: Yes, not at this point and not at those levels. So, we have our sustaining CapEx we've talked about roughly $60 million, roughly. We'll have smaller, we should have the roll coat line completed, the majority of that spending behind us. And so other than sustaining and some smaller growth potentials like I could envision for the second Phase VII or something of that magnitude, we expect that the spending will dramatically reduce in the out years -- starting in '25.
Curt Woodworth: Okay. All right. Makes sense. Thank you.
Keith Harvey: Thank you.
Operator: Our next question comes from Josh Sullivan with The Benchmark Company. Please proceed with your question.
Josh Sullivan: Hey, if you get an overlapping GE semiconductor cycle and an aerospace cycle, that commitment you just referenced to the GE market, is GE still going to be a spot-based market or I guess, how much of the current expansion that you're talking about this year is speculative versus contracted?
Keith Harvey: Well, a change that's taken place, Josh, for generally, general engineering has historically been a spot market, but for a lot of the large OEMs that are going to be requiring some of our product, they are interested in multi-year contractual agreements. And that's a little bit because what they've experienced is what happened in the aerospace a number of years back. Their growth can be limited by the availability of existing capacity. And so as they look more strategically of securing their business and their growth, they are more interested in entering into multi-year agreements. And of course, we are going to take care of our service centers customers. But some of these large OEMs with reshoring that's taking place provide really great opportunities for us. They love our Kaiser select products and they're preferred. And again great growth opportunity for us. And again a reinforcement for Phase VII.
Josh Sullivan: Got it. And then maybe just what do lead times look like at those service distributor centers for aero/high strength right now?
Keith Harvey: Well it varies by supplier. I can tell you that Kaiser is and has been on allocation for a long time and we're currently unallocated to customers. And another reason for Phase VII launch.
Josh Sullivan: Got it. Thank you for the time.
Keith Harvey: Thank you.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Keith Harvey for closing comments.
Keith Harvey: Okay, thank you Maria. And thanks for everyone for being with us today. I look forward to updating you on our first quarter 2024 results in April. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.